Operator: Welcome to the Globus Medical’s First Quarter Earnings Call. At this time, all lines will be on mute and a Q&A session will be held after the prepared remarks. I will now turn the call over to Ed Joyce, Investor Relations Director. Please go ahead.
Edward Joyce: Thank you for being with us today. Joining today’s call from Globus Medical will be David Paul, Chairman and CEO; Dave Demski, President and COO; Richard Baron, Senior Vice President of Finance and CFO. I will now read our required legal disclaimers. During this call, certain items may be discussed that are not based entirely on historical facts. These items should be considered forward-looking statements and are subject to many risks, uncertainties, and other factors that are difficult to predict and may affect our businesses and operations. As a result, our actual results may differ materially and adversely from those expressed or implied by our forward-looking statements. A discussion of some of these risks, uncertainties, and other factors is set forth in our Form’s 10-Q and 10-K on file with the SEC. These documents are available at www.sec.gov. We undertake no obligation and do not intend to update any forward-looking statements as a result of new information or future events or circumstances arising after the date on which it was made. The financial information discussed in connection with this call reflects estimates based on information available at this time and could differ materially from the amount ultimately reported in our 2014 Form 10-Q. Our revenue, earnings, operating margins, cash flows and similar items are sometimes expressed on a non-GAAP basis and have been adjusted to exclude certain items, including among other things interest income and expense and other non-operating expenses, provisions for income taxes, depreciation and amortization, stock-based compensation, changes in the fair value of acquisition related contingent consideration in connection with business acquisition, provisions for litigations, and with respect to computation of free cash flow, purchases of property and equipment. The comparable GAAP financial information and a reconciliation of non-GAAP amounts to the comparable GAAP amounts can be found in the tables included in today’s earnings release, which is available on the Globus Medical Investor Relations web page at www.globusmedical.com. I will now turn the call over to Dave Demski, our President and Chief Operating Officer.
David M. Demski: Thank you, Ed, and welcome to everyone on the call. Worldwide sales for the first quarter were $114.2 million, an increase of 8.8% over the first quarter of 2013, and above consensus estimates, U.S. sales grew 5.6%. As we mentioned on our last call, the severe weather we saw in the Northeast and the Southeast this winter caused many scheduled surgery days to be canceled, negatively impacting our sales. We estimate the impact of Q1 revenues to be approximately $2.5 million and continue to believe that we will make up that revenue over the rest of 2014. Revenue from our international operations grew by 43% over the first quarter of 2013, confirming the reacceleration of growth that began last quarter. This growth is primarily being achieved in greater penetration in existing markets although we are selectively opening new markets. While we don’t report profitability by geography, the growth in sales, coupled with our existing control over operating expenses has produced significant improvements in profitability from our international operations. Adjusted EBITDA for the quarter was 36.8%, a 300 basis point improvement over the 33.8% we achieved in Q1 2013. This comes on the heels of a 90 basis point improvement in adjusted EBITDA, net of medical device tax that we saw for the full year in 2013. It further demonstrates that our strategy of growth through innovation coupled with diligent expense control produces outstanding financial performance. Even though we already operate at a high level of profitability compared to our peers, we see opportunities to achieve additional operating leverage as our business grows. This leverage further enables us to expand into new areas such as robotics. On that topic we have fully integrated the Excelsius team into Globus and are aggressively pursuing our development goals. As we build up that effort, we will see some drag in our adjusted EBITDA margins through the end of 2014. Diluted earning per share were $0.22 for the first quarter. Adjusted for the impact of litigation, diluted EPS would have been $0.24 for the quarter. Free cash flow for the quarter was $23.1 million and we ended the quarter with $305 million in cash, cash equivalents, and marketable securities. We remain debt free. Pricing pressure has not improved, but remains in the low to mid single-digits. There have been no new significant developments since our last call. Although it is worth noting again that hospitals seem to be more cognizant of the potential liability to them associated with PODs and are taking steps to minimize or eliminate PODs in instances. The news on procedures is a bit less clear. The impact of the severe weather resulted in the decrease in procedures in certain geographical areas, which has caused a distortion in our procedural volumes. In addition to the impact of the weather, we have seen a modest decline in procedures from the levels that we experienced in the fourth quarter. We are not aware of any systemic changes on the parts of carriers or patients. We remain confident in our ability to achieve our 2014 revenue targets. We continued our pace of development into 2014, introducing five new products during the quarter. David Paul will elaborate further on several of our recent launches in his remarks. Recruiting for the quarter was down from the stored pace we set in 2013, but it’s not a concern. Our current pipeline of recruits is robust and we continue to we continue to believe Globus is the destination of choice for the top sales talent in our industry. We are pleased with a strong start to 2014. We overcame one of the harshest winters on record in certain parts of North America and our growth remains substantially higher than that of the overall industry. We rolled out five new products during the quarter, continuing our prolific history of innovation. We not only operated the business at a high level of profitability, we’ve built on our strong performance of 2013 and achieved additional operating leverage in the quarter. We are excited about the prospects for 2014. I will now turn the call over to Rick Baron to provide detail on our financial performance.
Richard A. Baron: Thank you, Dave. Today, I will review our financial performance for the first quarter of 2014 as compared to the first quarter of 2013. For key elements of the income statement, balance sheet, and statement of cash flows. Our worldwide sale for the first quarter of 2014, were $114.2 million, which is an 8.8% increase over the first quarter of 2013. Innovative Fusion sales increased this quarter to $66.8 million, worldwide $8.9 million from the prior year’s quarter, while Disruptive Technology sales increased this quarter to $47.4 million, or by 8.6% from the prior year’s quarter. Innovative Fusion sales growth was driven by our significant increase in OUS sales, as well as our continued success and adoption of our new pedicle screw line CREO. Sales in the United States for the first quarter of 2014 grew by $101.7 million, or by 5.6%, while international sales grew to $12.5 million or 43% from the prior year’s quarter. Overall growth in sales was attributed to the expansion of both domestic and international territories, as well as greater penetration in existing territories. Gross profit for the first quarter of 2014 was $88.9 million or 77.8% of sales for the current year’s quarter as compared to $81.5 million, or 77.6% of sales from the prior year’s first quarter. Research and development expenses this quarter was $7.4 million, or 6.5% of sales as compared to $6.8 million or 6.5% of sales for the same period 2013. The increased expense was due to expenditures of our robotics project as we discussed during our call in February, we anticipate additional expenses and increases in expenses for R&D in the future quarters due to expenditures relating to this projects. Selling, general administrative expenses were $46.7 million, or 40.9% of sales compared to $45.4 million, or 43.2% of sales for the prior year’s first quarter thus gaining operating leverage as we grow sales. Operating income increased to $32.2 million, or 28.2% of sales for the first quarter of 2014, as compared to $29.3 million, or 27.8% of sales for the prior year’s quarter. Adjusted EBITDA for the first quarter of 2014 was 36.8% of sales, or $42.1 million as compared to 33.8% of sales, or $35.5 million in the prior year’s quarter. As Dave indicated earlier in this call, our adjusted EBITDA for the quarter reflects leverage of 300 basis points in our business model this quarter as measured year-to-year. Our income tax rate for the current quarter was 34.9% as compared to 32.6% in the first quarter last year. Quarterly net income was $21.1 million as compared to $19.9 million in the first quarter of 2013. Net income was impacted by a $1.6 million provision for litigation, which was primarily due to a settlement of the Altus lawsuit. Earnings per share were $0.22 for the first quarter of 2014 and $0.21 for the prior year’s quarter. Non-GAAP earnings per diluted share, which excludes the provision for litigation was $0.24 per share, again compared to $0.21 per share for Q1 of 2013. The diluted share count for the quarter was $95.2 million and $93.6 million as of March 31, 2014 and 2013 respectively. Cash, cash equivalents and marketable securities balance was $305 million as of March 31, 2014, as compared to $275.5 million as of December 31, 2013. Operating cash flow in the quarter was $29.2 million, free cash flow, as defined as operating cash flow less capital expenditures was $23.1 million. We remain debt free. At this point, I would like to reiterate our guidance, we provided earlier in the year. Such items for the year is sales in the range of $480 million to $486 million. Earnings per fully diluted share is anticipated to be in the range of $0.90 to $0.92 per share. I will now turn the call over to David Paul, Chairman and CEO for our closing remarks.
David C. Paul: Thank you, Rick and good evening everyone. The first quarter of 2014 was another strong period for Globus Medical. We grew our sales by 8.8% reaching $114.2 million. While maintaining our strong profitability profile, with adjusted EBITDA of 36.8% and free cash flow of $23.1 million. We launched five new products in the quarter and completed the integration of the Excelsius team into Globus. On the sales force front, we continue to work on refining our process of recruitment and on-boarding of new salespeople. Our goal is to establish a systematic process to add new territories every year. We continue to believe that Globus remains the destination of choice for the best sales talent in the industry, and aim to capitalize on this demand. Our performance this quarter was the result of consistent, sustained execution of our strategy of combining robust product innovation and continued sales force expansion with disciplined expense control. I am proud of the performance of our team this quarter and continue to be confident in our ability to produce profitable growth in the remainder of 2014 and beyond. Turning to product development I am going to comment briefly on two products from last year. First, on the CREO platform that we began launching in 2013. The initial rollout of the CREO platform continues with great feedback from our customers. We continue to make improvements to the platform, and are also adding new systems to this platform in 2014 including threaded, cortical and MIS options. We expect the CREO platform to become our largest product by 2016. Second, within biologics, we launched KINEX in the fourth quarter of last year, marking the first of a series of products in our biomaterials development pipeline. KINEX is an osteostimulative synthetic biomaterial that includes all the necessary components for enhancing and stimulating bone growth. We have been pleased with the feedback we have received on its performance, and it begins to address what has been a historical weakness in our product offering. Late last year we also received 510(k) clearance for a second product in this space called SIGNIFY, whose key component is bioactive glass. Our intensified efforts in this space are beginning to yield returns, and we will continue to work in this arena to strengthen our position. We launched five new products in the first quarter. One of these is REVERE Threaded, which consists of a threaded version of REVERE specifically tailored for complex deformity users who are more comfortable with a threaded locking cap that allows controlled gradual correction. This will be the first threaded pedicle screw offering in our bag, and we will follow this up with CREO Threaded, which I mentioned earlier on in the call. In April, we launched MONUMENT, a unique anterior lumbar interbody fusion device designed to help with reducing spondylolisthesis, which is a degenerative condition of the spine whereby one vertebrae slips forward in relation to the adjacent vertebrae. MONUMENT has a built-in translational feature to aid in reducing this vertebral slip in situ. This new system includes all the benefits typical of an anterior lumbar interbody spacer with a large stabilizing surface area and graft window that is optimal for fusion, and is indicated to be used with supplemental fixation. We have received great feedback from initial surgeries and are excited about the potential for this product. In summary, we continue to execute on our long-term growth strategy of rapid new product introductions, and U.S. and International sales force expansion, while maintaining a continued focus on profitability and cash flow. We remain excited about our prospects in 2014 as we continue to execute on our disciplined strategy of profitable growth. We are now happy to take any questions.
Operator: (Operator Instructions) Your first question comes from the line of Phil Skolnick from Canaccord Genuity. Your line is open.
Phil Skolnick – Canaccord Genuity, Inc.: Great, thanks. Good evening. Can you hear me, okay.
David C. Paul: Yes, Phil.
Phil Skolnick – Canaccord Genuity, Inc.: Good. So obviously a very strong quarter, International outperformed for you. I guess my question is and you kind of touched on it, David is, there was a lot of investment in the distribution channel in the U.S. last year kind of when would you expect that to start contributing to that U.S. top line growth rate? And then my second question will have to do with the margins?
David C. Paul: I think as we talked in the past, it typically two years to get reps up to speed, sometimes two to three year up to full 100%. But in terms of starting to contribute, that’s happening already though. I mean, we’ve got some of those and we hired last year are already producing at fairly significant rates.
Phil Skolnick – Canaccord Genuity, Inc.: Okay. And then just on the leverage standpoint, I mean across-the-board the numbers were better obviously the one-time litigation charge hit. Given that this is the type of leverage we saw in the first quarter, your full-year guidance obviously, if I back in the numbers doesn’t reflect that. Do you plan additional investments through the year? Are you just being conservative? How should we think about that?
David C. Paul: I suspect we’re being a bit realistic. Remember that Excelsius was acquired very late – very closely to the end of 2013. So although the numbers reflect our investment in there, it doesn’t – it will ramp up a bit between now and the end of the year on top of the trials and other such things. We are comfortable with the guidance we gave for the year on EPS. The quarter was strong, but it reflected a bit less spending as opposed to anything else.
Phil Skolnick – Canaccord Genuity, Inc.: Great. Congratulations on a good quarter, that’s all I had.
David C. Paul: Thanks, Phil.
David M. Demski: Thank you.
Operator: Your next question comes from the line of Matt Miksic with Piper Jaffray. Your line is open.
Matt S. Miksic – Piper Jaffray & Co.: Hi, good evening. Can you hear me okay?
David C. Paul: Hi, Matt.
Matt S. Miksic – Piper Jaffray & Co.: So, just wanted to follow-up on some of the strength in Innovative Fusion. And specifically, maybe some sense of how long we can see – what looks like some acceleration kind of into the back half of last year on some of the new product launches, maybe give us a sense of, is this something that we see a couple more quarters and that we start hitting comps then we slowdown, or is this something like CREO and the other products you talked about that give you – this give me sort of more sustained growth, any kind of expectations would be very helpful, and then I have got one follow-up?
David C. Paul: Well, this is David. Thank you, Matt. First is, because of CREO is what you are seeing some of the acceleration of growth in Innovative Fusion. As you know, pedicle screws have gone for 40% of the market and being the biggest segment and CREO being the next generation screw has been garnering a lot of new accounts and new customers. You’re probably going to see some normalization over time, bt as we launch more and more systems like threaded MIS and cortical, we expect more growth in CREO through 2016, and then there maybe some normalization after that. But the MIS and the cortical version we would count as disruptive, so you are going to see some balancing of that also.
Matt S. Miksic – Piper Jaffray & Co.: Okay, it’s helpful. And then just generally as you talked a bit about the quarter and weather impact which is very helpful. Dave, I think you also mentioned that you saw slightly lower volumes than you saw in Q4. I’d love to understand if what you are seeing is sort of what you characterize putting weather aside as more seasonality or whether there was some seasonally adjusted sequential slowdown, or how you think about that comment and then what you expect going forward?
David C. Paul: Yes, it’s little difficult to tell right now what exactly it is. We are a little bit softer than the fourth quarter. I would attribute into a really strong fourth quarter and I’ve seen some speculation out there that the high deductible policies, ObamaCare those things were about to occur and they have caused a bit of a spike in the fourth quarter. So we are seeing a little bit of softness compared to that and usually a high number, there’s nothing systemic or there’s no large customer losses, no larger distribution losses anything like that going on.
Matt S. Miksic – Piper Jaffray & Co.: Okay, that’s helpful. Thanks.
David C. Paul: Thank you.
Operator: Your next question comes from the line of David Roman with Goldman Sachs. Your line is open.
Matt J. McDonough – Goldman Sachs & Co.:
David C. Paul: Part of it is clearly on leverage. Part of last years lack of growth, if you would, might have been attributed to the randomized excise tax. As each in quarter on a year-over-year basis embedded was about 1.8% of gross margin degradation. So you have, I guess a normalization of it at least for this quarter. Our leverage will appear more in the operating expense line than in gross margins. Because as we expand OUS, those prices are a little bit less robust than they are in the U.S. but the operating leverage is how we will grow the net bottom line.
Matt J. McDonough – Goldman Sachs & Co.: Great, that’s helpful. And maybe just as a quick follow-up, taking into account the very strong International quarter that you had, how should we think about modeling that? In the past two years you’ve experienced sequential growth internationally. So given the strong quarter, is that something we can expect?
David C. Paul: I think you’re going to look out us on a 12 month basis. If you go back to Q1 and perhaps even Q2 of last year, part of the conversation was around looking at the operations are stepping or making a step back, looking towards profitability. So the growth although, I think higher than had been historically, if you take a look at a 12 month period that’s probably the way to look out it into the future.
Matt J. McDonough – Goldman Sachs & Co.: Okay, thank you.
Operator: Your next question comes from the line of Matthew O’Brien with William Blair. Please go ahead.
Matthew O’Brien – William Blair: Good afternoon, thanks for taking the question. Rick, I know that you guide typically for full year that number, but given the impact of whether in Q1 and then the Excelsius spend over the remainder of the year. Can you just help us frame a little bit the cadence of revenue growth, our performance sequentially over the next couple of quarters and then on the bottom line as well. Should we look at maybe Q2 thing a little bit more of the return of some of the lost value from Q1 or is it going to be sprinkle pretty evenly throughout the year. And then you know on the same line as far as the spend goes, for Excelsius is that going to be Q2 loaded, Q4 loaded, how should we think about that?
Richard A. Baron: Excelsius will theoretically be pretty even throughout the year although it probably ramps just a little bit throughout the year as you get projects going. As far as the sales go, look to bring back in those sales somewhat evenly if you’re going to wait it at all look to the next two quarters, but don’t expect the full amount to come back in the next in this Q2. It is something calendars are full going back to Dave’s comment about procedures in the such calendars are full they’re going to slot in those lost – delays procedures over the course of the next seven, eight months.
Matthew O’Brien – William Blair & Co.: Okay. And then just two more from me if that’s okay. When you look at your U.S. business, it’s still pretty healthy growth kind of high single-digits. Is that a function of going again, you can just be more qualitative year than anything, just going deeper within existing accounts, how much of your U.S. growth is coming from going deeper versus adding new accounts, and should that start to shift a little bit more towards potential growth coming from new accounts as those newer reps get up and going?
David C. Paul: It is primarily through getting new accounts and new reps as opposed to going deeper into accounts. Although that is part of our strategy and you have a kind of a natural mix as we recruit and people get up to speed, that in those instances effectively it’s going deeper. But as a general rule it’s a result of our geographic expansion.
Matthew O’Brien – William Blair & Co.: Okay. And then last one from me and this question gets asked all the time, but that cash balance continues to grow here pretty meaningfully. There are some assets out there in areas where you guys are not participating within spine right now. I mean are you averse to levering up the company somewhat to go out and buy some of these unique assets that are out there and use a bigger chunk of your cash balance?
Richard A. Baron: I don’t think we are averse to it, but there’s nothing on the horizon that we are looking at that would cause us to lever up. We are very active in looking at opportunities to do bolt-ons and improve our business. So we should be some more activity later this year and we could talk about.
Matthew O’Brien – William Blair & Co.: Fair enough. Thank you.
Richard A. Baron: Thanks, O’Brien.
Operator: Your next question comes from the line Richard Richard Newitter of Leerink Swann. Your line is open.
Ravi Misra – Leerink Partners LLC: Hi, thanks. This is actually Ravi in for Rich. Just a question, I think I dive in a little bit towards the end of your weather comments. What was the impact revenue wise associated with that?
David C. Paul: We are estimating $2.5 million, Ravi.
Ravi Misra – Leerink Partners LLC: All right, thanks. And then sort of maybe if you could just have some larger picture question, thoughts on the Zimmer biomed combination and sort of they are still a smaller player even combined in spine, but sort of any commentary on the competitive impact that you see would be helpful?
David C. Paul: Speaking for myself, I don’t see a huge impact to us given your comment that they were – or really biomed is the combination of (indiscernible) in the former biomed and Zimmer, they are not real big, so we don’t run into them very often, so just point, I don’t see a big impact to us one way or the other.
Ravi Misra – Leerink Partners LLC: Okay, great, and thanks. Maybe another – putting that question in another way, have you been seeing any early very, very early sales force sort of people reaching out to you?
David C. Paul: Not yet, Ravi.
Richard A. Baron: I think Ravi more than us, this is probably more in line with the total joined companies and that’s where they have more of the overlap.
Ravi Misra – Leerink Partners LLC: Great. Okay, thanks.
David C. Paul: Thank you.
Operator: Your next question comes from the line of Steven Lichtman with Oppenheimer & Co. Your line is open.
Steve M. Lichtman – Oppenheimer & Co.: Thank you. Hi, guys. Just wanted to follow-up on the international strength, but maybe you could give us a little more color on what countries have been the incremental drivers here the last couple of quarters, and where do you see the biggest opportunities internationally for you as you look out in terms of some of the investments you’ve made as you look out over the next, six to 12 months or so internationally?
David C. Paul: Steve it’s pretty broad-based. I mean, as a part of our business, it’s still relatively small. We are kind of late to the game internationally so we have a lot of upside in the number of market. And I wouldn’t want to anyone in particularly so that the biggest opportunities are where the most procedures and dollars are. So the Europe is first. Long-term Japan is there. Then we’d be followed by some of the more developing market.
Steve M. Lichtman – Oppenheimer & Co.: Okay. And then on the biologics connections and now signifying those are getting booked under innovative fusion and with KINEX is that staring to be a contributor to that line that we are noticing or is it sill, are they still pretty small at this point?
David C. Paul: Steve, first we look at it as a disruptive technology, Biologics space so it still pretty small, but it is definitely getting some traction. And as we fill out that portfolio, we are pretty excited about where we can take that older space. As I mentioned earlier on this has been a area of historical weakness for us and both 18 months ago we really sat down to put together a strategy for that and that’s the fruition of the strategy is what we are seeing with the launch of this new products.
Steve M. Lichtman – Oppenheimer & Co.: Great, thanks Dave. And then lastly Rick, just to make sure we are on the same page. The $0.90 to $0.92 guidance for the year that’s including at the $0.22 number from the first quarter not the $0.24 number is that correct the $0.22?
Richard A. Baron: The $0.22 – number.
Steve M. Lichtman – Oppenheimer & Co.: Yes. Okay, great. Thanks, guys.
Operator: Your next question comes from the line Richard Newitter with Leerink Swann. Your line is open.
Richard Newitter – Leerink Swann & Co.: Hi, thanks for taking the follow-up. Just another question on the weather was there any – was it effecting any disruptive or innovative fusion effect one segment more than the other?
David C. Paul: No, it would’ve been pro rata.
Richard Newitter – Leerink Swann & Co.: Okay, thanks that’s it for me. Thank you for the follow-up.
David C. Paul: Thank you.
Operator: This concludes today’s conference call. Thank you for participating in Globus Medical call today. You may now disconnect.